Operator: Good day, and welcome to the QuinStreet Second Quarter 2016 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Erica Abrams. Please go ahead, ma'am.
Erica Abrams: Thank you, Tom. Good afternoon, ladies and gentleman. Thank you for joining us today to report QuinStreet's second quarter 2016 financial results. Joining me on the call today are Doug Valenti, CEO and Greg Wong, CFO of QuinStreet. This call is being simultaneously webcast on the Investor Relations section of our website at www.quinstreet.com. Before we get started, I would like to remind you that the following discussion contains forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual result to differ materially. Factors that could cause the results to differ from our forward-looking statements are discussed in our SEC filings including our most recent 10-Q filing with the SEC. Forward-looking statements are based on assumptions as of today and the Company undertakes no duty to update these statements as a result of new information. Today, we will be discussing both, GAAP and non-GAAP measures. A reconciliation of GAAP to non-GAAP financial measures are included in today's earnings press release, which is available on our Investor Relations website. Now, I will turn the call over to Doug, CEO of QuinStreet. Please go ahead.
Doug Valenti: Thank you, Erica. Hello, everyone, and thank you for joining us today. We continue to make good progress with new products, markets and media in fiscal Q2, diversifying our business base and developing areas of revenue growth. These new areas have helped stabilize revenue over the past few quarters. Looking ahead, we now expect these new products, markets and media, combined with recently signed partnerships to result in significantly improved revenue and profitability. Specifically, we expect double-digit revenue growth and expanded adjusted EBITDA margin this quarter and in coming quarters. We talked last quarter about our strategic initiatives to focus on partnerships, partnerships to leverage our unique technologies and capabilities in performance marketing to embed us more broadly and deeply in the Internet marketing and media ecosystem and to diversify and expand our footprint for growth. Recall, these partnerships are with, one, large media and marketing companies, where you are able to create or significantly increase performance marketing revenue results and operating efficiencies for the partner; two, not for profit schools and their third-party enablers of online programs to provide a wider range of relationships and services than in our traditional model in education; and three, clients in all vertical to provide a wider range of services, technologies and products. Our just announced 10-year partnership to be the exclusive provider of click technology and management for All Web Leads or AWL is a latest and biggest partnership today. AWL is the largest customer acquisition company focused on the insurance industry, having recently acquired Bankrate’s insurance customer acquisition business. AWL and we intend to leverage our partnership and combine scale to improve the insurance shopping experience online for consumers and to generate better results for agents and carrier clients. We expect to attract more spending and to grow the channel and our revenue together as a result. The AWL agreement included a one-time upfront exclusivity payment of $10 million. The expected incremental margin from the partnership will pay that back in less than a year. Our bidding progress on other strategic initiatives, revenue in our education client vertical from not-for-profit clients and international grew 66% in Q2 to 34% of education revenue overall. We are enthusiastic about both of those markets and their continued long-term potential. We now serve about 200 not-for-profit education clients. On the media side, revenue from mobile and social represented 35% of company revenue in Q2. As we continue to diversify and to emphasize growth from those important sources. Partnerships and other growth initiatives are driving a significant shift in our business mix. Our financial services client vertical is expected to approach 60% of company revenue in the second half of the fiscal year this quarter and next while revenue from for-profit education clients is expected to decline to less than 20% of Company revenue in the same period. Turning to our outlook, we expect revenue to grow in the March and June quarters, our fiscal Q3 and Q4, at a double-digit annual rates. We expect EBITDA margin to expand significantly, due to top-line leverage. We expect total revenue in fiscal 2016 ending June 30th to grow by approximately 10% over fiscal 2015, and we expect adjusted EBITDA for fiscal 2016 to be higher than in fiscal 2015. With that, I will turn the call over to Greg, who will discuss the financials in more detail.
Greg Wong: Thanks Doug. Hello, and thanks to everyone for joining us today. For the second quarter, we reported $65 million of total revenue. Adjusted EBITDA was $158,000 and adjusted net loss was $0.03 per share. Revenue by client vertical, our education client vertical represented 32% of Q2 revenue or $20.6 million. The year-over-year decline was due to an exit from the channel by a large U.S.-for-profit education client, a pullback we mentioned last quarter. Excluding that client, our education business grew 3% year-over-year. As we have talked about in the past, we are progressing well with our efforts to diversify our markets, thereby reducing our reliance on U.S. for-profit schools. Revenue from not-for-profit schools in international market, particularly Brazil, grew 66% in the quarter and now represents 34% of our overall education revenue, as Doug discussed. Revenue from U.S. for-profit education clients is expected to decline to less than 20% of total company revenue in the second half of the fiscal year. Our financial services client vertical represented 50% of Q2 revenue and grew 10% compared to the year ago quarter to $32.3 million, due primarily the strength in our insurance and mortgage client verticals. We expect growth in financial services to significantly accelerate beginning in Q3 as strategic partnerships like AWL ramp. We also expect financial services revenue to approach 60% of total revenue in the second half of the fiscal year. Revenue from other client vertical represented the remaining 18% of Q2 revenue or $12.1 million. Other client vertical revenue was down 13% year-over-year as we saw some softness in B2B technology marketing spend. Adjusted EBITDA for the second quarter was $158,000. We expect adjusted EBITDA margin to expand significantly in the second half of the fiscal year through top-line leverage. Turning to the balance sheet, cash and cash equivalents at quarter end were $51 million. Total debt was $15 million and our net cash position was $36 million. During the quarter, we made a one-time payment of $10 million to All Web Leads in connection with our 10-year partnership agreement. That payment will be amortized by us at $1 million per year on a straight line basis over the life of the agreement. Excluding that one-time payment, we remained net cash neutral in the quarter. In summary, second quarter marked an important step in our progress to diversify and reinvigorate our business. Over the past few years, we have worked to broaden and enhance our product set resulting in increased media yield and better quarter results for both, consumers and clients. We have expanded our media footprint to reduce reliance on search engines and affiliates and successfully penetrated markets, such as non-for-profit schools and international, particularly Brazil. We have also established strategic partnerships that leverage our unique products, technologies and capabilities to facilitate better monetization for us and for our partners alike. We are now at an important turning point, where these efforts and investments are beginning to yield accelerated revenue growth and EBITDA margin expansion through top-line leverage. Today's announcement of our partnership with All Web Leads is an important milestone for QuinStreet, and a proof point of the strength of our new products. In this partnership, QuinStreet is the exclusive click monetization provider to AWL. We expect this relationship will generate tens of millions of dollars of new revenue annually. Accordingly, for the second half of fiscal 2016, we expect to post double-digit revenue growth and achieve approximately 10% revenue growth for full fiscal year. We also expect adjusted EBITDA margin to expand significantly in fiscal Q3 and Q4 due to top-line leverage. With that, I will turn the call over to the operator to open up Q&A.
Operator: Thank you, sir. [Operator Instructions] We will take our first question from John Campbell with Stephens.
John Campbell: Hey, guys. Good afternoon.
Doug Valenti: Hi, John.
Greg Wong: Hi, John.
John Campbell: Congrats on the All Web Lead deal that seems like a good opportunity for you guys but Doug…
Doug Valenti: Thank you.
John Campbell: …some of the moving parts of guidance I think you said financial services expected to be about 60% of total rev, is that right?
Doug Valenti: That is correct, in the second half, John, half of the year.
John Campbell: Just for the second half, okay. I mean just doing the math here that implies I think about 60 plus percent type year-over-year growth rate just for the financial services business in the back half. Is that sound about right?
Doug Valenti: Yes. That sounds about right.
John Campbell: Okay, good. Then Greg, I mean I think you mentioned the onetime payment that you guys are amortizing. Do that 1 million hit in this quarter?
Greg Wong: No. It is a straight line across the year for the life of the agreement so it is 1 million of year straight line through the 10 years.
John Campbell: I got it. Are you guys backing that out of your adjusted EBITDA number?
Greg Wong: No.
John Campbell: Okay. Got it, got it. Then just a little bit more color on the All Webs deal. I think Greg you said a couple of million or so rev contribution. How exactly is that going to be structured?
Greg Wong: I am sorry. John, I did not quite understand the question.
John Campbell: If we think about the revenue contribution from that deal…
Greg Wong: Yes.
John Campbell: …is it going to be - I mean is it going to follow the typical seasonality we see with the insurance business, is that all coming on evenly spread, how should we think about kind of modeling that in?
Greg Wong: It will follow what you would typically see in an insurance annual curve, to the extent there is seasonality in that which there is some that it should follow just about that.
Doug Valenti: John, that was, we expect the partnership to generate tens of millions of dollars of new revenue annually.
John Campbell: Got it, got it. Okay. Then last one for me just on the macro front, just on the insurance channel, can you guys give us an update on carriers spend. I know when Bankrate sold the business originally to All Webs I know that there were some fluctuations in the market and what not, but it seems like the carriers spend comes in and out, where do we kind of stand now and kind of what you guys are expecting for the back half of the year?
Doug Valenti: Yes. Everybody's pretty much back; there were a couple of large clients would pullback spend pretty significantly, those clients are back in the market and spending pretty aggressively with us. We have got a pretty full slate of insurance clients spending good levels, so we expect a strong second half of the fiscal year in insurance both at the client level as well as through the partnerships and through media.
John Campbell: Got it. Thanks. I will hop back in the queue. Thanks, guys.
Doug Valenti: Great. Thanks, John.
Operator: We will take our next question from Stephen Ju with Credit Suisse.
Yoni Yadgaran: Hey, guys. This is Yoni on for Stephen.
Doug Valenti: Hi, Yoni.
Yoni Yadgaran: Hey. Two questions if I may. The first is just basic housekeeping, is it fair to assume that the amortization of the AWL deal will be flowing through COGS? Secondly, how should we think about gross margins as you guys kind of see some reacceleration particularly in financial services in the back half of the year specifically with kind of thinking through both AWL deal as well as potentially programmatic and things of that sort being increasing part of your mix as well as social?
Doug Valenti: The answer is yes, the AWL amortization showing up in cost of goods sold or cost of services certainly will. In terms of gross margin, I am not sure we are going to see a lot of fluctuation in that. We have the partnerships kicking in, but we also have also a lot of other initiatives underway. Again, as you know we focus primarily on media margin and EBITDA margin and the main effects is we expect the media margin to be pretty consistent in the back half with the first half and that is the biggest component of COGS or cost of services as we do not expect to add much by way of headcount in the second half. Then on the EBITDA margin side, given that we are going to be pretty flat on the headcount side, a lot of the incremental media margin from the incremental business, not just from the partnerships, but from continued growth and all the other initiatives we talked about for the past few quarters, a lot of it is going to just drop right to EBITDA. As we said, we expect EBITDA to expand pretty rapidly here this quarter and then even faster in the fourth quarter and then to continue that trend for a while.
Yoni Yadgaran: Got you. Congratulations on your deal, guys. Thank you.
Doug Valenti: Thank you.
Greg Wong: Thank you.
Operator: [Operator Instructions] We have a follow-up from John Campbell with Stephens.
John Campbell: Hey, guys. Just for my notes here. You guys talked about the owned and operated sites. I think you said maybe a couple of quarters ago you are expecting O&O revenue growth to be about 20% or so this year. Are we still on track for that? How is that faring in the first half of the year?
Doug Valenti: I think our forecast for the year is sure to go more like total - we will have to look more closely to the forecast. I do not want to give you an answer right off because I do not have the numbers in front of us, but we’ve seen good growth to traffic on the organic websites. We have seen continued strong growth in internal email, which has been a big grower for us as a new form of owned and operated, a lot of our owned and operated is on B2B and we saw a little bit of softness there, so I guess there is some ups and some downs. Net-net, I would say that it is without looking at the numbers and Greg will get you a numbers after call I would say that we do not expect it to be a major driver up or down in the second half.
John Campbell: Okay. That is fair. Then just back to O&O so the GradSource.com, I show that announcement from you guys. Is that kind of very early stages and then maybe if you can just give us an idea about traffic growth if you guys expect that did drive any type of revenue anytime soon?
Doug Valenti: It is really early stages. We like it a lot. We have learned a lot on how to be more successful in the new Google environment and that is our first kind of from scratch site that applies everything we know. The other sites are being - it is more of evolution to the new environment. We are very hopeful for it, but it is early. I would say that we still feel very good about our ability now to be more stable and to begin to grow and that is why we launched GradSource.com. In the new Google environment and that is not included in any of the forecasting that we just talked about. If that comes, that will just be that much better for EBITDA.
John Campbell: Got it. Thanks for taking my questions, guys.
Doug Valenti: Sure. John, thank you.